Operator: Welcome, everyone, to UMC’s 2016 First Quarter Earnings Conference Call. All lines have been placed on mute to prevent background noise. And after the presentation, there will be a question-and-answer session. Please follow the instructions given at that time if you would like to ask a question. And for your information, this conference call is now being broadcasted live over the Internet, and webcast replay will be available within an hour after the conference is finished. And please visit our website, www.umc.com, under the Investor Relations Investors Events section. And now, I would like to introduce Mr. Bowen Huang, Head of Investor Relations at UMC. And Mr. Huang, you may begin.
Bowen Huang: Thank you and welcome to UMC’s conference call for the first quarter of 2016. I’m joined by Mr. Po Wen Yen, the CEO of UMC; and Mr. Chi Tung Liu, the CFO of UMC. In a moment, we will hear our CFO present the first quarter financial results followed by our CEO’s key message to address UMC’s forecast and the second quarter guidance. Once our CEO and CFO complete their remarks, there will be a Q&A session. UMC’s quarterly financial reports are available at our website, www.umc.com, under the Investors Financial section. During this conference, we may make forward-looking statements based on management’s current expectations and their belief. These forward-looking statements are subject to a number of risks and uncertainties that could cause actual results to differ materially, including the risk that may be beyond the company’s control. For these risks, please refer to UMC’s filing with the SEC in the U.S. and ROC Security Authorities. I would now like to introduce UMC’s CFO, Mr. Chi Tung Liu, to discuss UMC’s first quarter 2016 business results.
Chitung Liu: Okay. Thank you, Bowen. I’d like to go through the first quarter 2016 investor conference presentation material which can be downloaded from our website. Starting on page three, the first quarter of 2016, consolidated revenue was TWD 34.4 billion, with gross margin around 14.6%. The net income attributable to the stockholders of the parent was TWD 21 billion and the earnings per ordinary shares was TWD 0.02. [Indiscernible] in first quarter was 82%, slightly declined from 83% in the previous quarter, but down nearly 11 percentage point on the same quarter of 2015. On page 4, revenue grew by 1.6% quarter-over-quarter, but because of the disruption in operation, mainly due the earthquake on February 6, our gross profit dropped to TWD 5 billion or 14.6% in Q1 2015. And the net income attributable to stockholder of the parent was around TWD 210 million or 0.6%. And EPS is TWD 0.02 or $0.003 per ADS. For year-over-year comparison, due to the lower loading as well as the lower ASP, our revenue dropped 8.6% year-over-year, and also the earnings in gross profit dropped 45% to TWD 5 billion. And for the EPS comparison, in the first quarter of 2015, it was TWD 0.32. And in first quarter of 2015, it’s TWD 0.02. For our balance sheet in the first quarter, our cash has increased to TWD 59.5 billion, and our total assets has also increased to TWD 344 billion. For the operating segment breakdown, for wafer fabrication, or our foundry business, our gross margin in the first quarter was 15%, and our operating margin for foundry segment was 1.5%. In new business, although the revenue has come down to a - in significant numbers, it still has some TWD 200 million plus loss for our overall consolidated performance. ASP in the first quarter declined by roughly 2%. In terms of revenue breakdown, Japan together with Europe has showed the weakest performance in the first quarter. And at the same time, Asian revenue has bounced to 45% from 37% in the previous quarter. IDM, for the similar reason, has come down to about 9% compared to 15% in the previous quarter. We see the Communication still remain the largest share of our revenue contribution. However, the percentage has come down to 48% from 52% in previous quarter. And Computer has made up the last year from 11% increase to 15%. Because of the earthquake destruction, our high range, especially 28-nanometer production was impacted to a large degree in the first quarter. And as a result, the revenue contribution has come down - come to lower than what we expected number of around 8% in first quarter which has also declined from the 11% in the first quarter of last year. Our 40-nanometer, because of the production side, is rather more diversified as well as very high loading, has reached a very high number of 29% of our total revenue. Capacity in the second quarter is expected to grow about 2%, mainly coming from our 12-inch wafer fab in Tainan, 12A. And for the full year, CapEx budget so far still remain unchanged, around $2.2 billion with majority for our 12-inch capacity expansion. And now, I would like to turn the call to our CEO, Mr. Yen.
Bowen Huang: Thank you, Chi Tung. Hello, everyone. I would like to update to everyone UMC’s first quarter operating results. In the first quarter of 2016, our foundry revenue grew 2.1% sequentially to TWD 34.31 billion. Foundry operating margin was 0.5%. Overall capacity utilization was 82%, bringing wafer shipments to TWD 1.43 million 8-inch equivalent wafers. Towards the end of 2015, we saw signs that the inventory cycle was hitting bottom. Since then, the inventory correction has completed its course with normal seasonal patterns resuming for first half 2016. On February 6, just as Chinese New Year was beginning, Southern Taiwan experienced a severe earthquake that impacted the UMC’s 300-millimeter Fab 12A in Tainan Science Park. However, due to UMC’s stringent safety protocols, efficient execution of our earthquake recovery SOP and dedicated personnel, we returned to normal production in just a few working days to sustain 1Q 2016 revenues within our original guidance. In compliance with our ISO 22301 certification, UMC’s business continuity practices ensure accountability on property damage and - as well as the safety and health of our employees. We’ll continue to ensure a state of readiness by implementing disaster protocols that introduce business continuity elements within our foundry operations. UMC has recently announced an agreement with ARM to develop multiple physical IP platforms to accelerate customers’ implementation of ARM Artisan IP on our 55-nanometer ultra-low power and 40-nanometer and 28-nanometer technologies for mobile, embedded and IoT chip designs. The partnership will further strengthen UMC’s IP portfolio to deliver optimized design support solutions across a broad range of applications. Looking into 2Q 2016, new product launches in wireless devices will serve as a positive catalyst, leading to stronger end-market demand. As a result, we foresee a significant increase in 28-nanometer shipments for the second quarter. We also expect to receive many new 28-nanometer tape outs during 2016. That includes mobile and consumer applications which we are further diversifying our 28-nanometer product pipeline and contribute to 28-nanometer revenue growth. While we continue to work towards business growth and market share expansion, the board of directors recently proposed to distribute TWD 0.55 per share cash dividend to achieve a balance between shareholders’ interest and company expansion. We continue to believe that our efforts in advanced and specialty processes will serve as a long-term catalyst to bring new prosperity and profitability for UMC employees, customers and shareholders. Now, please allow me some time to summarize the recent highlights in Chinese. I’ll finish my remarks. And now, let me go over the second quarter 2016 guidance. Our wafer estimate in second quarter to show an increase of approximately 5%, the ASP in NT dollar to increase by 1% to 2%. UMC gross profit margin will be in low 20-percentage range. Capacity utilization rate will be in the high 80 percentage range. Foundry CapEx for 2016 remain as $2.2 billion. That concludes my comments. We are now ready for questions. Operator, please open the lines up. Thanks.
Operator: Thank you, Mr. Yen. [Operator Instructions] And our first question is from Randy Abrams from Credit Suisse. Please ask your question.
Randy Abrams: Okay. Yes. Thank you. I wanted to ask, for this quarter since - or first quarter since there were some pretty big mix changes, if you could talk a bit more about that? And in that context, geography, Europe and Japan and IDMs had a sharp decline. And on end markets, looked like a shift, PC ramping and communications coming back. So, if you could give a little more on what happened on the product mix? And then, for second quarter, if you expect normalization, what areas do you expect to rebound in second quarter?
Bowen Huang: Yes. As our CFO, Chitung just explained, the first quarter, by application, the communication segment is weakest one, and so that’s why we declined the revenue share from 52% to 49% in the first quarter. And computer is a little bit better and consumer is flat in the first quarter. And for the second quarter, we expect our communication will bounce back to become strongest one.
Randy Abrams: Okay. Can you elaborate that Europe and Japan and IDMs? It looked like a pretty sharp falloff, if that’s a one quarter correction or product change or anything that may be more meaningful there.
Bowen Huang: Yes. The first quarter, the demand from communication, especially from Japan and Europe, is in the bottom and is quite weak. However, we do see they’re getting better for the coming quarters.
Randy Abrams: Okay. And then, for second question, I wanted to ask on the 28-nanometer, if you could go back to - your original target was a good rebound to 15% to 20% of sales and getting pretty full with the 20,000 capacity, if you could give an update. And then following on that, with these new tape outs for second half, where you’ll expand to 29,000 to 30,000, if you’ll have that capacity available and you expect also to grow further in the second half into that capacity?
Bowen Huang: Yes. Looking beyond the February 6 earthquake impact, our 28-nanometer ramp is still on track. So our 28-nanometer production is approaching to world-class defect densities. The yields of these products for both 28-nanometer poly-SiON and 28-nanometer high-k/metal gate versions are at 90% range. So, furthermore, we believe we are delivering the highest performance and lowest power consumption of 28-nanometer technology in the world. So, we expect revenue growth from customers tape out throughout this year. Our capacity expansion will support our 28-nanometer revenue contribution to be getting higher quarter-over-quarter. So, we expect that this quarter - second quarter will reach 15% to 18% range and 3Q will be close to 20% or even better to 20% revenue share.
Randy Abrams: Okay. And final question; I wanted to ask on two expansions. One is, if you could give an update on the China pilot line, when that capacity would start to ramp? And there were some press stories on potential venture in memory moving into NAND flash. If you could provide color if that’s a strategic interest or area you’re pursuing?
Chitung Liu: Our Xiamen fab is ongoing and actually pretty well. And we do expect the equipment moving to happen right now. And the wafer pilot line, as you mentioned, should be in the third quarter. We’re starting production in the fourth quarter. Volume-wise should be around our original projection, which was around 6,000 by the end of 2016. So, Xiamen fab is on track. As for the newspaper report, first of all, we have already declined that UMC will get into any memory fab production in China. So, we don’t have any plan for now at least to get into memory fab joint ventures in China. However, having said that, we’re being approached by various parties in China to develop semiconductor-related project including memory as well. So, whenever there is a concrete plan, we will certainly disclose and make it more detailed to our investors.
Randy Abrams: Okay. And to clarify that, so you would consider logic, but not likely to look at the memory as an option?
Chitung Liu: Well, first of all, Xiamen is pure foundry. So, it’s totally separate. Other than Xiamen project, we’re being approached by different parties which include memory suppliers as well. But, for the time being, UMC has no plan to get into memory production as a joint venture. And if there’s any other plan, we will disclose accordingly when it becomes concrete.
Randy Abrams: Okay. Thank you, Chitung.
Chitung Liu: Okay.
Operator: And the next one is from Bill Lu, UBS. Please ask your question.
Bill Lu: Yeah. Hi. It’s good to see that 28-nanometer is finally ramping, so congratulations. A couple of questions on that. If the nano 28 remains healthy into the second half of the year, is there a scenario where you expand capacity beyond the 30,000 or that’s basically the maximum?
Bowen Huang: We expect to complete the 30,000 expansion plan by the end of this year. And of course, we are - based on our customer engagements, it is possible for UMC to build additional 10,000 to 20,000 wafers per month capacity in the coming years.
Bill Lu: In the coming years, but probably not this year, is that what you mean?
Bowen Huang: Yes. Normally, the capacity deployment will take one year.
Bill Lu: I see. Okay. Secondly, can you comment on the profitability of 28 nanometers? What is the break-even utilization and where can profitability get to, say, by the end of the year?
Bowen Huang: Yeah. We expect our 28-nanometer profitability will gradually increase quarter-over-quarter. And we will [indiscernible] by expanding our 28-nanometer capacity plus those new enhancement activities. So, that will continue to help UMC to improve our 28-nanometer profitability. So, in the 4Q 2016, we expect our 28-nanometer profitability will be much closer to 12-inch corporate average.
Bill Lu: Okay. But your 12-inch corporate average is a little bit lower than your 8-inch corporate average, right?
Bowen Huang: Yes. A few percentage points lower.
Bill Lu: Got it. Got it. That brings me to my next question, which is, if you look at second quarter guidance, if 28-nanometer grows from, say, 8% of sales to 18%, overall shipment is up 5%, that sort of implies that the rest of the businesses are down, right? So, is it fair to assume that maybe 8-inch is staying a little bit weaker right now and what’s your outlook for the rest of the year?
Bowen Huang: Our 8-inch is, yes, in the second quarter, is relatively weaker than previous quarters.
Bill Lu: I’m just wondering if you can give me some insights as to what your 8-inch customers might be telling you, because, I guess, from my vantage point, driver IC, some of it is moving to 12-inch and I think the overall demand doesn’t look that great this year anyways. Is there a - do you think 8-inch can pick up in the second half of the year? And if so, can you tell me why?
Bowen Huang: Yes. I would say the demand in the first quarter and second quarter is a little bit weaker for the whole industry, including [indiscernible]. But, however, UMC’s 8-inch foundry business has been quite steady. So, our 2Q - the second quarter 8-inch loading will be in the mid-80% range and we believe also our - all those efforts to improve the loading. We believe in the second half of this year, the 8-inch loading will be improved.
Bill Lu: I guess, if I could ask that a different way, if 8-inch loading is to go up in the second half of the year, what kind of applications do you think will drive that?
Bowen Huang: There are several including the driver and some specialty technology in the smart car.
Bill Lu: Okay. Great. Thank you very much.
Bowen Huang: Thank you.
Operator: And the next question is from Szeho Ng, BNP. Please ask your question.
Szeho Ng: Hi, [indiscernible]. Could you quantify the earthquake impact in Q1 at a cost of goods sold level?
Bowen Huang: Yeah. As you all might have expected, UMC worked very closely with our customers to minimize the impact of the earthquake February 6 in Tainan. So, first of all, we had not reported a certain issue or personnel injuries. So, of course, our Tainan fab suffered a damage from earthquake that’s including our process wafers, stores and facilities. However, we received an interim settlements dedicated to the earthquake in the first quarter. And we expect to receive the remaining settlements in 2016, this year. So, if we include the remaining settlements into the first quarter 2016 results, the pro forma gross margin is still in line with our original guidance. And some customers requested to receive early April shipment in late March. So, as a result, our first quarter revenue is in line with our original ASP and shipment guidance.
Chitung Liu: And so, Szeho, just to add on that, the revenue-wise, probably because of the early shipment from April to late March, very minimal impact on revenue side. On gross margin, as our CEO has mentioned, we received roughly 2% of gross margin for the early interim settlement from insurance companies. And we expect to receive another maybe roughly 3% throughout the rest of the year. So, if you add that 3 percentage point to our gross margin in the first quarter, you will go back to around 18% in foundry gross margin.
Szeho Ng: Okay. Got you. All right. And what’s the FX you’re using for the Q2 guidance and also for the Q1 historical number?
Chitung Liu: Q1, it was average around NT$33.3. For the time being, we’re using NT$32.7 for quarter two.
Szeho Ng: Okay. All right. Okay. Thank you very much.
Operator: And the next one is from Steven Pelayo, HSBC. Go ahead, please.
Steven Pelayo: Yeah. You were talking about your cash balance going up quarter-on-quarter, but that was actually not a function of - I guess, operating cash flow was down and CapEx was up. So, could you talk a little bit about the increase of the cash, the sources for that? [Indiscernible] from the joint venture or was this settlement insurance payments? Help me understand that. And then maybe if you could talk just a little bit about free cash flow goals for 2016.
Chitung Liu: Yeah, the cash increase from cash flow statement is mainly coming from the capital injection from a partner in our Xiamen fab, which, as a result, increased our liabilities because we do have buyback options on those investments. So, the liability increased as well as the share - cash positions also increased. So, it’s a virtual cash coming from our investors for the Xiamen JV.
Steven Pelayo: Okay. Do you expect any more injections throughout 2016, and what do you think about free cash flow goals for this year in 2016?
Chitung Liu: Well, I think this part is more accounting issues, and we do expect this part will continue in second quarter. But UMC will start to inject our own capital into Xiamen fab next year. So, probably, we’ll see that in the second quarter only. And for the cash flow forecast, this year, as I mentioned, we have about $2.2 billion forecast as CapEx for the whole group including Xiamen JV. And for depreciation alone, we expect to see about 20% increase or around NT$50 billion plus. So, for the time being, we are about to have an equilibrium. If you had our free cash from depreciation plus earnings versus our dividend and UMC part of the CapEx, it’s about equal. And that’s our current plan.
Steven Pelayo: Okay. That’s all I want to verify that you think we could net those out and be flat on the cash flow. Thank you.
Chitung Liu: Thanks.
Operator: And the next question is from Sebastian Hou from CLSA. Please ask your question.
Sebastian Hou: Thank you for taking my questions. So, first one is regarding 28 nanometers. Earlier in CEO prepared remark, you mentioned about you expect to receive more tape out throughout this year. So, I just wonder, when your revenue - you start to - more products and customers are in mass production for 28 nanometers and your yield rate go up, and you mentioned about your yield rate right now for both high-k and poly-SiON is at 90% yield rate. So, I just wonder how do you see the stability of the yield rate of 28-nanometer. So, maybe for one to two products, it could be at 90%. But I just wonder if there is like 15 products, or 20 products, or more than 20 products in production, can your yield rate still sustain that 90%, that kind of a high-yield level? Thank you.
Bowen Huang: Thank you for your question. Of course, what I mentioned just now is for our lead products. And for the new tape-out [indiscernible] starting from, say, 15% gap to 90% and it would take a couple of months to get there to our target [indiscernible]. So, I’m not saying that all our products, our 28-nanometer is at 90%.
Sebastian Hou: Okay. So - okay. Thank you. So with that - the follow-on that is that because right now, maybe you have - your products in production so far and maybe you have some products, you have higher yield, the way you have more tape-outs, I mean, more new products which just have lower - would that be lower the - what I’m trying to ask is would that be lower your blended yield rate on the 28-nanometers, so that will have a negative impact on your overall margin?
Bowen Huang: I don’t see that because our - for those lead products, the yield [indiscernible] experience will be implemented for the upcoming products. So, it will shorten the yield [indiscernible] rate for the future tape-outs. So, we see the [indiscernible] is getting improved.
Sebastian Hou: Okay. Okay. Thank you. And my [indiscernible] my second question is on the [indiscernible]. I’m not sure, I just want to double check the numbers. You’re making about the 8-inch wafer utilizing rate in the second quarter will be mid-80%s. And, okay, so how about the 12-inch in the second quarter?
Bowen Huang: 12-inch the average is at 90 percentage points.
Sebastian Hou: 90%.
Bowen Huang: Yes.
Sebastian Hou: Okay. And my last question is on the industry outlook. I recall that in the January conference call, CEO gave the guidance or the outlook for the overall industry. So, do you have any update numbers on the semi or foundry and UMC growth for this year?
Bowen Huang: Yeah. We don’t have that for this year. We still keep our guidance on the first quarter I gave. Yeah.
Sebastian Hou: So, semi is still 3%, foundry is 4%?
Bowen Huang: Yeah. Our number is, the semi will be 1% to 2% growth and foundry will be 4% to 5% growth.
Sebastian Hou: Okay. Thank you. That’s all from me.
Operator: And the next question is from Roland Shu from Citigroup. Please ask your question.
Roland Shu: Hi. Good evening. Thanks for taking my question. First question is just trying to clarify the exchange rate you’ve used in first quarter? So Chitung, you said, it was NT$33.13 or...
Chitung Liu: NT$33.3.
Roland Shu: NT$33.3. But I just see from your presentation material, on the page four, page five, actually, you used NT$32.22.
Chitung Liu: Yeah. That’s quarter end conversion rate. So, the NT$33.3 is the weighted average number we calculate the revenue, profit, et cetera. So, quarter end, in terms of converting the NT dollars to U.S. dollars, we’re using the quarter end exchange rate.
Roland Shu: Okay. So, the NT$32.7 exchange rate we use for second quarter, that is also for the average, right?
Chitung Liu: Weighted average, yes, forecast for now.
Roland Shu: Okay. Yeah. And just I look at your guidance for second quarter for the blended ASP, you said that to increase about 1% to 2% in NT dollar base. So, for this one, I think, for the exchange rate that probably appreciate above 3% to 4% and with this 1% to 2% ASP. So the total, I think, the U.S. dollar base is probably the ASP is an increase about 5% to 6%. So, however, if you look at your 28-nanometer, I think revenue is going to up by 8% to more than 15%, probably, 18%. So, for [indiscernible] is this on your blended ASP increase mainly because of the product mix change on the 28-nanometer, or you have other like-to-like price erosion which helped to decrease a little bit for this on your blended ASP increase on 28-nanometer right [indiscernible]?
Bowen Huang: It’s mostly coming from 28-nanometer product mix increase. But if you divide it NT$32.7 by NT$33.3, it’s actually 2%. So, it’s not 3% or 4%. So, 1% to 2% should be 3% to 4% in U.S. dollars.
Roland Shu: Yeah. But I think, for 28-nanometer actually is increased much more than this, yeah, [indiscernible], so is there any like-for-like price erosion to average down the overall blended ASP increase? How about the pricing pressure for other node?
Bowen Huang: Not so much. I mean, as you can tell, our 28-nanometer nearly over 90% loadings in quarter two. So not much pricing pressures for the second quarter. Our 8-inch is in catching-up mode, and we also expect to see pretty high loading in the second half of this year. So, for the time being, we don’t see much pricing pressures for any major node.
Roland Shu: Okay. Thank you. And second question is on your - according to your 2015 20-F, customers in Taiwan and China, revenue contribution decreased by total about 5 percentage points. So was it due to foundry competition in China, or there was other reasons for the change? How do you think about 2015, all the customer contribution in Taiwan and China, will it continue decreasing, or will it be increased this year? Thank you.
Bowen Huang: China, for the time being, only accounts for about 8% of our total revenue.
Roland Shu: Yeah. But the Taiwan, yeah, is at 31%, 32%, yeah.
Bowen Huang: So, [indiscernible] mainly coming from Taiwan. China is still growing.
Roland Shu: Okay. So, this is the case in this year, right? So, you said Taiwan customer will be continue declining, and China will be increased?
Bowen Huang: We are sure that China will grow, but we are not so sure if Taiwan will decline. And for longer time span, it’s also become integrating for Taiwan and China. So, it will be difficult to differentiate these two. But we’re certainly sure our revenue through China will continue to grow, especially after the Xiamen fab start production.
Roland Shu: Okay. So, how about the competition? Do we see any competition or strong competition from China or from Taiwan?
Chitung Liu: Yeah. It depends on technology-by-technology, application-by-application. So yeah, in the ballpark, the competition is everywhere. It’s all the time and...
Roland Shu: Okay. Understood. Yeah, [indiscernible] in your top 20-F, your top 10 customers last year, total account for 57.3% of the total revenue. So, is there any customer or any customers with more than 10% revenue contribution last year?
Bowen Huang: Yes. There are one to two customers’ more than 10% revenue contribution of UMC total.
Roland Shu: Yeah, and how about this year? Are you going to add more customers to have more than 10% revenue contributions for this year?
Bowen Huang: It’s still about the same, still about the same, because...
Roland Shu: One to two customers? From the same customer, or will be changed?
Bowen Huang: Somehow, we see the same customer.
Roland Shu: Okay. Understood. Okay. Thank you. That’s all my questions. Thank you.
Bowen Huang: Thank you.
Operator: And the next question is from Rick Hsu from Daiwa Securities. Please ask your question.
Rick Hsu: Yeah, hi. Good afternoon. Okay, my first question, I think I probably mixed the number here. Chitung, could you give me again your first quarter foundry gross margin.
Chitung Liu: Gross margin foundry is 15% and OP margin, operating margin was 0.5%. So, 15% versus 0.5%.
Rick Hsu: Okay. 15%, that’s for gross margin, and OPM is about 0.5%, right?
Chitung Liu: Yes.
Rick Hsu: Okay. Thank you so much. And my second question is regarding your 8-inch business. Do you see any risk of market share lost to your counterparts in China, especially for display driver? And would that be a structural issue, or is it just seasonal?
Bowen Huang: Yeah, our 8-inch business serves mainly wide diversified base. So, I will say this a short-term, not the market dynamics. My feelings is nonetheless structural those in the market share. So, we are still doing our efforts to improve our low 8-inch through our specialty technology offering, or strengthening our customer engagement in this 8-inch business.
Rick Hsu: Okay. Thank you. Maybe one addition to this question is, I mentioned you talked about your development and business ramp-up from the automobile and automotive business, while industrial application especially for the smart automobile. Can you give us more update of that? Would that be one of the main contributor to your 8-inch specialty technology that help offset any kind of the business weakness on display drivers?
Bowen Huang: Yes, that’s pretty correct to our efforts.
Rick Hsu: Any kind of...
Bowen Huang: Right now, it’s still a small part, small part to UMC’s revenue share. The automotive segments that the growth rate and potential grow is the largest one in our forecast.
Rick Hsu: Any ballpark number in terms of revenue contribution from auto this year, or maybe year-on-year growth, just a ballpark number?
Bowen Huang: We don’t have the number on hand right now.
Rick Hsu: Okay. Thank you so much. Just one last question. Can you update us a little bit about your next-generation development? I think its 14-nanometer.
Bowen Huang: Yes. Our 14-nanometer FinFET technology development is still on track, and we expect to begin the customer tape-out later in this year. And we’re still targeting to enter the 14-nanometer FinFET production in the second half of next year.
Rick Hsu: Okay. So, mass production in second half next year?
Bowen Huang: Yes.
Rick Hsu: Right. Just a little bit - sorry, a little bit more color about its applications [indiscernible], is tape-out?
Bowen Huang: Yeah. The first application will be on the Communication and Consumer.
Rick Hsu: All right. Thank you so much.
Bowen Huang: Thank you.
Operator: Ladies and gentlemen, we are running out of time. So, we are taking the last question. And the last question is from Steven Pelayo from HSBC. Please ask your question.
Steven Pelayo: Great. Just a few quick follow-ups here, kind of accounting ones. Will 40-nanometer increase in dollars for you in the second quarter as well, or is it kind of a shift over to 28-nanometer?
Chitung Liu: Yeah. We are expecting overall revenue to grow 5%, 6%. And 40-nanometer, as a percentage of revenue, will at least be flat, so yes.
Steven Pelayo: So, it’ll grow in line as well. A quick other little accounting ones here. Tax rate, thoughts for second quarter and then rest of the year?
Chitung Liu: Tax rate?
Steven Pelayo: Yes.
Chitung Liu: Okay. I want to give you the full year. It should be between 10% to 15%. But quarter-over-quarter, it’s a bit difficult to predict as in the second quarter, when we pay out more than 50% of earnings, the remaining 8% earnings will be levied about 10%, so for the retained earnings tax. So, that will happen in quarter two.
Steven Pelayo: Okay.
Chitung Liu: But for full year, we’re expecting effective tax rate between 10% to 15%.
Steven Pelayo: Okay. And two more quick ones here, I guess. With the China operations and the non-controlling interest line, I assume, as that ramps towards end of the year, I guess there’s probably loss-sharing that goes on. So, how will that impact the P&L as we exit the year?
Chitung Liu: Again, we own 30% for now, but we do have controlling over this JV. So we will consolidate 100% on the - for the time being, it’s on the operating expenses side. When you stop production, all the costs will be allocated to its appropriate item. And the remaining 70% will be given back to the other shareholders regardless it is loss of profit at the bottom line.
Steven Pelayo: So, that’s what - I mean, I’m assuming when you start a fab, you usually started at losses. You were sharing essentially 70% of those losses with a partner, so that would be an add back to your P&L?
Chitung Liu: Yes.
Steven Pelayo: Can you quantify at all, how...
Chitung Liu: That’s already the case for the second quarter, although it’s a minor numbers.
Steven Pelayo: How much of an impact do you think it could be this year?
Chitung Liu: How much is the impact? I cannot give you a forecast for our Xiamen JV...
Steven Pelayo: Okay.
Chitung Liu: ...as it’s a wider range. But, of course, since you assume - it’s reasonable to assume it will be a loss-making entity.
Steven Pelayo: Okay. And you gave full year depreciation guidance, on a quarter-on-quarter basis, does it step up significantly with 28-nanometer going to high-teens percentage of revenue as well?
Chitung Liu: So, full year is 20% year-over-year, and this quarter, Q1, over previous quarter was around 6.6% and the quarter two over quarter one is around 4% or 5%.
Steven Pelayo: 4% to 5%. And then, my last question, I’m sorry so many. In your 20-F you did actually revealed the largest customer, and it was up 23% year-on-year. Those are very big growth considering the overall company I think was about 3% or so. So, I’m just curious, is this some kind of market share gains that are going on? Is there M&A activity with that customer that’s opening up opportunities for you, or, yeah, do you expect that kind of momentum to sustain? When we think about your largest customer, do you think it will grow in line this year in 2016, or will continue to outperform like it did in 2015?
Chitung Liu: Cannot predict single customers, but we try to maintain a diversified client base, but the top few customers, of course, remain very important to our overall revenue contribution. As our CEO just pointed out, we do expect to see one to two customers continue to contribute more than 10% of our revenue base. And that these are thus exactly the same customer as in 2015.
Steven Pelayo: Okay. Thank you very much.
Chitung Liu: Thank you.
Operator: Thank you for all your questions. That concludes today’s Q&A session. And now, I’ll turn things over to UMC Head of Investor Relations for closing remarks.
Bowen Huang: Thank you, everyone, for joining us today. We appreciate your questions. As always, if you have any additional follow-up questions, please feel free to contact UMC at ir@umc.com. Have a good day.